Operator: Hello, and welcome to the Invitae Second Quarter 2023 Financial Results Conference Call. My name is Alex. I'll be coordinating the call today. [Operator Instructions] I'll now hand it over to your host, Hoki Luk, VP, Investor Relations, and Corporate Development. Please go ahead.
Hoki Luk: Thank you, operator, and good afternoon, everyone. Thank you for participating in today's call. Hosting the call today is our President and CEO, Ken Knight. Before we begin, I'd like to remind you that various remarks that we make on this call that are not historical include those about, our vision and business models, the company's strategic business realignment, future financial and operating results, expectations of future growth and reduction in burn rates, and future products, services, our product pipelines, and their timing. Certain points we make will constitute forward-looking statements within the meaning of the safe harbor provision of the Private Securities Litigation Reform Act. It is difficult to accurately predict demand for our services, and therefore, our actual results could differ materially from our stated outlook. Statements on future company performance assumes, among other things, so we don't include any additional business acquisitions, investments, restructuring or legal settlements. We refer you to our most recent 10-Q and 10-K, in particular to the sections titled Risk Factors. For additional information on factors that could cause actual results to differ materially from our current expectations. These forward-looking statements speak only as of the dates hereof. To supplement our consolidated financial statements prepared in accordance with generally accepted accounting principles in the United States or GAAP, we monitor and consider several non-GAAP measures. We encourage you to review our GAAP to non-GAAP reconciliations, which are available in the press release and in the appendix of the earnings slide deck, both of which you can access by visiting the Investors section of the company's website at ir.invitae.com. Today, Ken will discuss our future results and recent developments. I will cover the financials and key metrics from the second quarter as well as update you on our 2023 guidance. We will then conclude the call with Q&A. With that, I'll turn the call over to Ken.
Ken Knight : Thank you, Hoki, and thank you all for joining us today. In the second quarter, we continued our steady march toward becoming a profitable business while continuing to serve our patients and clients. As evidence of our pursuit of higher quality revenues and disciplined cost control, we continue to make solid progress in both GAAP and non-GAAP gross margins, and were able to decrease our cash burn to well below our projected levels. We have improved non-GAAP gross margins for eight consecutive quarters, and ongoing cash burn in the first half of 2023 is 67% lower than the same period last year. We posted $120.5 million in revenue, which is a 1% increase in year-over-year pro forma top-line results. Looking at the different business lines. We saw solid double digit pro forma year-over-year revenue growth in rare disease, data, and women's health, demonstrating continued momentum. Sequential volume growth for hereditary cancer and rare disease were both up 5% quarter-over-quarter. Despite 8% pro forma year-over-year volume growth for hereditary cancer in the US market, we faced headwinds from several commercial insurance payers in terms of overdue payments, which impacted our hereditary cancer revenue by $5 million this quarter. Our billing teams are working with these payers non-stop, ensuring that we are doing our part in every way possible to unblock payment processing. We are committing the necessary resources and these [Technical Difficulty] are comprehensive. We have been successful recently in driving better reimbursement in our rare disease and women's health businesses, and have used our best practices from those efforts to assist in this regard. We are seeing reductions in the backlog of overdue payments as we enter the second half of 2023 and are engaging with a high sense of urgency with all stakeholders for faster resolution. Oncology revenue was also impacted by weaker fee for service, which we indicated last quarter would be lumpy, and where we are rebuilding our pipeline of pharma orders. In fact, we are already seeing a stronger pipeline in the third quarter. Presentations at the 2023 American Society of Clinical Oncology Conference continued to highlight and confirm that hereditary germline cancer testing, in combination with somatic testing, provides the best picture for physicians. Together, these tools aid in understanding cancer risk, diagnosis, and treatment selection, leading to better outcomes for patients. Invitae has been a leader in generating this clinical evidence as well as increasing adoption of germline testing in oncology, as seen by NCCN guideline expansions to that effect. However, even with guideline expansion and confirmation of the benefits of hereditary cancer testing, the usage rate remains elusive and low. A recent National Public Radio piece on All Things Considered showcased this front and center and is worth listening to. Highlighting a recent study that was presented at ASCO, led by doctor Allison Kurian and [co-authored] (ph) with Invitae. Of one million patients diagnosed with cancer in California and Georgia, investigators found that 93% of them did not get hereditary cancer testing despite guidelines endorsing universal germline testing for several tumor types. This growth underutilization suggests many patients who are eligible for germline testing have not yet received it. This is the burning issue to solve and underscores our current efforts to drive education and additional call points at the community oncology level. In the second quarter, we reached the 4 million patient mark across a diverse spectrum of clinical areas, of which more than 63% are available for data sharing. We continue to be well positioned to provide the highest quality of clinical interpretation at an industry leading scale. Looking ahead to the second half, we continue to allocate our resources into key areas that will drive growth in 2023 and beyond. Let's start with oncology. On a pro forma basis, our oncology revenue in the second quarter was $60 million compared to approximately $69 million a year ago. As I said earlier, this was impacted primarily by headwinds in payer reimbursement for hereditary cancer testing and lower sales and fee for service. In hereditary cancer, guideline expansions and better outcomes are expected to further improve adoption among non-genetic expert providers and community oncology settings. Efforts to expand our call points and facilitate the usage of a hereditary cancer testing among these physicians and clinics are underway. This is where the majority of cancer patients are receiving their treatment support and represents the largest growth opportunity for hereditary cancer testing going forward. In Q2, we had a double-digit volume in our non-genetic expert oncology US channel. Switching gears to our minimal residual disease efforts. We have made solid progress in updating our PCM platform chemistry with updates that provide the same quality and performance as our legacy technology, while offering streamlined processes and improved cost efficiency. We believe this updated technology with a migration plan that begins in Q4 2023 also addresses the primary matters arising from ongoing Natera litigation and provides us an even more differentiated solution. Overall, we continue to have strong confidence in our ability to operate, and most importantly, our ability to continue offering PCM to pharma partners and patients in need of accurate monitoring. We also expect our updated chemistry to accelerate our fee-for-service revenue by delivering faster turnaround times, complimenting the business development and marketing resources we have added. Looking at our ongoing efforts for the medium term, yes, we still see synergies between hereditary germline and somatic products. Together, they will anchor one of the most comprehensive offerings for a physician who is considering options on individual at risk of or diagnosed with cancer. In the meantime, we've been active at recent oncology meetings presenting new data that supports the use of germline testing. From this year's ASCO meeting in June, study of patients with lung cancer undergoing germline testing was the focus of two separate platform presentations. In this study, 14% of lung cancer patients with no family or personal history of cancer had positive pathogenic germline variant with potential clinical management implications. This prevalence is similar to what we have seen in patients with breast, ovarian, pancreatic, and colorectal cancer, all of which have guidelines endorsing universal germline testing. We continue to do the work, make the investment and support clinicians as they pursue the benefits of universal germline testing. In the rare disease business line, we saw significant pro forma revenue both in Q2 of approximately 32% year-over-year, driven by cardio and neuro panels, as well as strong performance in pediatric genetics. We continue to broaden our offerings and launched an expanded neurodevelopmental disorders or NDD testing panel in Q2. We've also implemented a number of programs to improve reimbursement rates and are seeing improved gross margins in this category. In women's health, revenue was up approximately 18% year-over-year on a pro forma basis. Our carrier screening panel continues to perform well and is well received by our growing customer base. We are seeing increasing productivity with our sales team, along with market share gains. On the data side, we continue to introduce new products such as linking Invitae’s genetic data with clinical, claims and prescription data to enable more researchers and biopharma partners to deepen their understanding of the patient journey and ultimately deliver a more effective therapy to the most precise patient population. We also continue to expand partnerships through other data products, which provide genetic insights to our partners and their specific areas of interest. We've achieved steady improvements in revenue cycle and working capital, which have helped to bolster cash flow and gross margins. Finally, we made the decision to exit our pharmacogenomics testing business and close the Seattle lab that is dedicated solely to PGX while exploring the best strategic path for the related assets. While we fully believe in the utility of PGX and its future impact on patient care, we have decided that the resource investment and path to consistent reimbursement are limited within our desired time horizon. The impact on second half and full year 2023 revenue is expected to be approximately a $3 million, although it will be accretive to our efforts to further expand gross margins. And with that, I will turn the call back to Hoki to discuss the financials.
Hoki Luk : Thanks, Ken. We are providing revenue breakdowns on a GAAP reported and pro forma basis for clarity. In the second quarter of 2023, we generated approximately $121 million of revenue, compared with $137 million in the prior year quarter. The decline reflects the effects of the exited product lines, countries and territories as a result of our realignment last summer. On a pro forma basis, we grew the business by about 1% from last year's second quarter. Looking at the details of the business category, $60 million from oncology, including hereditary cancer, and fee for service PPM testing offered to pharmaceutical partners. $27 million came from a women's health business, including carrier testing services and NIPS. $22 million from rare disease, including neuro, cardio, pediatrics, and other testing products. Data and patient network revenue was about $12 million. This includes our sponsored testing programs, data management, and a number of data partnership projects. Now let's look at our revenue growth file on a pro forma basis for the specific business line. In Oncology, as Ken mentioned earlier, this category was impacted by large payers, growing reimbursement for hereditary cancer testing, as well as timing and size of PCM fee-for-service contracts, which vary from quarter to quarter and that declined in the second quarter by more than $8 million on a pro forma basis from last year's period. Women's health business grew 18% year-over-year, largely led by our carrier testing panel and due to better reimbursement and billing practices. Rare business grew about 32% year-over-year, primarily led by our cardio, neuro, pediatric testing revenues, enhanced reimbursement of certain channels as well as continued billing and revenue management efforts. Data business also rose over 17%, thanks to continued growth of outpatient identification programs and partnership contracts for all genetic data products. Non-GAAP gross margin in the second quarter was 49.8%, which improved significantly compared to 40.1% in 2022 and was also a step-up from the 47.9% in the first quarter of 2023. Non debt operating expenses in Q2 of 2023 were a $158 million or 131% of revenue compared to $200.1 million or 146% of revenue from Q2 ‘22 and up from a 113% last quarter. The quarter-over-quarter increase was primarily due to the PCM related litigation expenses that we recorded this quarter, which totaled approximately $20 million. If we exclude that, non-GAAP operating expenses as a percentage of revenues would have been approximately flat on last quarter. Cash, cash equivalents, restricted cash, and marketable securities totaled $336 million on June 30th, 2023, compared to $389 million on March 31st, 2023. As you can see on the graph, non-GAAP gross margin has been improving for eight quarters in a row. We are getting close to 50% and into the range we projected for the year. In addition to improving our revenue management, we are also continue to work to drive cost out of the system via supply chain and other operational and process efficiencies. In the second quarter, the cash burn from our ongoing business as defined on Slide 14, was about $53 million, which represents an approximate 64% decrease from the same period last year and a 2% increase from Q1 of this year. Recall that in the first quarter, ongoing cash burn benefited from approximately $13 million in accounts receivable reductions associated with the previous Archer business. Excluding that, second quarter ongoing cash burn would have shown solid quarter-over-quarter improvement. In addition to our strong cash position with the decline in the burn rate, we also have close to $250 million additional secured debt capacity available to us. Now stepping to the Q2 ‘23 business metrics. Revenue per patient is measured by total company revenue divided by the number of ordering patients for the quarter. In the second quarter, revenue per patient was $459 versus $463 in the prior period. This small decline was primarily due to lower payments in hereditary cancer as well as commitments. In the third and fourth quarter of 2022, this metric was higher due to the kit business revenue. As the hereditary cancer payment trend stabilizes, and our fee-for-service revenue recovers, we anticipate this metric to follow suite. We're also happy to see continued quarter-over-quarter improvement in variable cost productivity, as well as stabilization in cash burn as a percentage of revenue. Moving to our financial guidance. Management is adjusting 2023 revenue guidance to $480 million to $500 million, compared to its previous guidance of over $500 million. The reduction was primarily based on the average payment shortfall that Ken mentioned, along with approximately $3 million related to our PGX exit. As Ken discussed, we are putting in comprehensive resources to resolve the payment backlog and are optimistic that our efforts should yield results in the second half. We're maintaining our non-GAAP gross margin guidance of 48% to 50% for the full year, thanks to our more focused portfolio, high quality of revenue as well as sustained improvements in lab operations, supply chain, and logistics. In 2023, as a result of the voluntary repayment of our term loan, cash burn will be higher than the ongoing cash burn figure. On an ongoing basis, based on our current trajectory, we are bringing down our previous cash burn guidance to a range of $220 million to $245 million from the previous range of $250 million to $275 million. The revised guidance range calls for more than 50% improvement from the 2022 figures. Back to you, Ken.
Ken Knight : Thanks, Hoki. To summarize today's call. First, we continued solid progress in our non-GAAP gross margin and cash burn trajectory. Headwinds on reimbursement and the PGX testing business exit are impacting our full year revenue guidance. Second, we continue our efforts on expanding our hereditary cancer customer base, improving overall customer experience, and expanding adoption of our product offerings. US hereditary cancer volumes grew by 8% on a pro forma basis, and we are continuing our push to improve payment rates and average payment per test. And finally, we are ahead of plan on cash burn by lowering our full year cash burn guidance and still have additional secured debt capacity remaining as a potential funding option. One year into our corporate realignment, our performance has improved and visibility into our portfolio strengths and weaknesses is more clear. Execution now, doable paths for profitable growth tomorrow, and capacity to pursue innovation and investment in our future are the strategic tenets that we rolled out last year. These tenets will inform our efforts on strengthening the foundation we have built to position us for future success. Operator, I'll now hand it over to you for questions.
Operator: Thank you. [Operator Instructions] Our first question for today comes from Kyle Boucher of Cowen. Your line is now open. Please go ahead.
Dan Brennan: I think we were going on. I'm sorry, guys. One second. It's Dan Brennan. Thank you for the question. Congrats on navigating through a choppy market here. Maybe first question would just be, on the reduced guidance. I guess, how much are you taking down your oncology guide and kind of how much is attributed to this, inability to collect payments. Maybe you can just quantify that? And then the second question was going to be, nice progress on kind of the cash burn despite the lower revenue. I'm just wondering, as we kind of look out for the impact on the business this year, how much do you think the weaker oncology growth will impact your ability to take the burn down next year?
Ken Knight: Thanks, Dan. This is Ken. I appreciate the question, and, thanks for joining us. First, the revised guide and the impact on oncology, as we said, about $5 million this quarter. And as we -- we're working hard on that. We've got a dedicated team that are focused on it, but the lower end of the range, basically, reflects that if we're not successful in changing that, for the second half of the year, it's probably worth about $15 million to our total revenue for the year, $5 million this quarter and continuing on for the rest of the year. That's probably -- that's kind of what's guided toward the lower end of the range as well as the $3 million that we expect will be a result of exiting the PGX business. And so, that does just give you some ideas about kind of the totality of the impact on the downside for the oncology business. We don't expect that. We're obviously working hard to not have that happen. But that that kind of describes the rationale behind the range, if you will. And, yes, it's pretty clear that oncology has an impact on our -- the overall business. It's a great business for us. We are a market leader. We've got great quality revenue there. And so as -- as we -- as our efforts to drive more revenue from oncology does have an impact on our gross margins, and gross margins will drive our available cash to spend in the business. And so it all is somewhat of a intertwined activity, but we still feel very confident that we can grow not only the APT back in oncology, but we're growing the sequential revenue, sequential volume, I should say. So we still are big on our her-can business. We see growth. We see opportunity to grow it outside of the traditional places where we've been already strong. And so we're seeing double digit growth in the non-expert community. And so it's -- we see we see more upside than downside with it.
Dan Brennan: Got it. And then you talked about PCM during the prepared remarks and kind of a -- and, you kind of altered the chemistry, which, I guess, allows you to maybe not bumping into Natera directly in the loss. Maybe could you just clarify it a little bit? So specifically, what are the changes that you're deploying? Would that you think, negate this kind of the competitive risk there? And then any color on just how that business is doing, it's hard for us to see inside kind of, what the revenue contribution is. Just wondering, any quantification of your MRD business and kind of what the growth outlook there is.
Ken Knight: Yeah. So the chemistry update for us, we're not going to get into too many details about what we've done, but we basically streamlined our process and streamlining the process actually eliminated some of the process issues that were raised in the Natera litigation. So I'll leave it at that. We streamlined our processes, and that's created a situation where we don't feel we have, the issues that were raised and the litigation with Natera. From the standpoint of what to do for our product, obviously, streamlining the process takes out cost and as well as it takes out time. And so we already felt we had a very competitive product from a turnaround time and availability to get information to patients sooner than others, and this is only going to improve that. And so from a standpoint of how we see MRD and fee for service coming together from a revenue standpoint, I do believe in the appendix, there are some slides that show the dollars associated with the MRD product for us. But we recognized last year, third quarter last year or so, that we had kind of neglected our pipeline on the fee-for-service world. We were very clear and transparent about that. We've stated that on multiple calls that our pipeline needed to be bolstered. And we've added our business development team and sales teams and marketing efforts. And we believe that having, an even better chemistry and streamlined process is going to accelerate the business that we're out there fighting for every day. We're in contact with the pharma customers, working to secure more MRD business for us on the fee-for-service world. And then, obviously, our studies that are underway that working to help confirm reimbursement paths for a more commercial launch of our MRD product is still in our portfolio of efforts as well. And we're going to be spending some time and resources in the second half of this year to keep that push going too.
Dan Brennan: Great. Thanks, Ken. Appreciate it.
Ken Knight: Thank you, Dan.
Operator: Thank you. Our next question comes from Tejas Savant from Morgan Stanley. Your line is now open. Please go ahead.
Madison Pasterchick: Hi. This is Madison Pasterchick on for Tejas. Thanks for taking the questions and congrats on the quarter.
Ken Knight: Thank you.
Madison Pasterchick: Just looking to the updated top line guidance, I was wondering if you could give some color on just how we should be thinking about it for the balance of the year, if just maybe, like, sequential step up is in line with what you guys are thinking or if there's any, like, seasonality that we should be keeping in mind?
Ken Knight: Yeah. We've said, and we still believe this is the case that, the second half -- we said first half, second half was going to be somewhere in the 48%, 52% in the second half of our total annual revenue. And I think if you just kind of do the math, you'll see that the lower end of the guide would be maybe a 49%, 51%, first half, second half versus a 48%, 52%. So we still see it about like that. Maybe what's encouraging for us, as I said, our sequential volume growth in her-can was really, you know, 5% for us in Q1 to Q2 so far and Q3, we're seeing continued momentum on the business there. I'm really excited about the way our rare disease business is going in terms of revenue acceleration. Our data business is solid and the carrier business has gone very well. So there's really strong indications that our second half is going to continue momentum. And we've kind of, mapped it out. It's 48%, 52%, 49%, 51% is kind of what the range would tell you there in in terms of the guidance.
Madison Pasterchick: Got it. Thank you. That's really helpful. And then, I know you've been seeing the strong results on gross margins. And just wondering how to be thinking about that for the fiscal year and if there's any dynamics that you could see providing potential upside to the guide, just kind of what the full year guide is baking in there, any…
Ken Knight: Yeah, I mean, great question. And we delivered, almost 50%, gross margins in Q2, and that was in the in the face of what we also highlighted as a lower revenue for our her-can business due to the APT efforts. And so continue to work on that APT, should continue to solidify our position in our guided range on gross margins. And so it's really about continuing to do the things that we've already been doing. And then if we are over able to over deliver, then we will see some upside, but right now, we feel really confident in our guided range of 48% to 50%. And as you can see, we're performing solidly within that, at this point. And so that her-can APT can be very impactful on gross margins.
Madison Pasterchick: Got it. Thank you so much.
Ken Knight: Thanks for the question.
Operator: Thank you. Our next questions from Dave Delahunt from Goldman Sachs. Your line is now open. Please go ahead.
Dave Delahunt: Hey, guys. Is there…
Ken Knight: Hey, Dave.
Dave Delahunt: Hey. Any increased detail -- additional detail you can give us on the increasing sales team productivity and the market share gains you mentioned there?
Ken Knight: Yeah. I mean, yeah. If you look at the -- part of the way we're continuing to lever our OpEx as a percent of revenue is that, we're -- I think we're just getting smarter about the utilization of our cost. We've reallocated sales force in some regards, and we've bolstered sales teams in other regards. And what we're seeing is a increase in productivity in kind of, in terms of revenue per sales rep. And it's kind of holistic for us. We've said we're going to be focusing on more profitable growth and more profitable revenue. And so our teams are embracing that, and they are working really hard to try to deliver on that force. And so, our sales teams are pretty solid in terms of the number of reps that we have. We've grown in some areas and other areas we've reallocated, and that's what I would say about our sales team.
Dave Delahunt: Got it. And happy to see the reduced cash burn. Any additional detail you'd give us on the puts and takes that have driven that, where there might be a little more juice left to squeeze.
Ken Knight: Well, I mean, we've guided it down, $220 million to $245 million. And so we're -- we’re basically, as we get more confident in how the numbers are performing, we wanted to share that with all of you as well. I mean, we see how the first half of the year has gone. And the efforts that we put in place are durable, and they're repetitive. And so we don't see ourselves kind of falling asleep at the wheel. We're going to keep working hard to improve the business and continue to drive the right decisions for us. And I think the way we've done it so far and as I said in my remarks, one year in, I think we're demonstrating that we're putting some muscle into how we're running the business and trying to do it in the right way. We still have an undeniable passion for the patients that we serve and the clinicians that we are partnering with. And so we're trying to do it in the right way, but we think we can also do it and build a healthy business at the same time. And, we have some studies that are going to come to fruition hopefully in the second half of the year, and that's some of the -- there will be some cash consumption there, but that's within our stated range of what we've guided to. And so, we're just making the hard trade off decisions and trying to get it right more than we get it wrong.
Dave Delahunt: All right. Thanks guys.
Ken Knight: Thank you.
Operator: Thank you. Our next question comes from Rachel Vatnsdal from JP Morgan. Your line is now open. Please go ahead.
Rachel Vatnsdal: Great. Good afternoon, and thank you for taking the questions. So first up, just kind of wanted to talk about oncology and coverage from private payers and also Medicare. Can you just give us an update on where you stand with CMS coverage on some of the data that you've submitted and then also how conversations are going with private payer coverage and when we could see any needle moving updates there?
Ken Knight: And so are you talking about for our somatic product, MRD, or are you talking about our hereditary cancer product?
Rachel Vatnsdal: Yeah. On MRD front.
Ken Knight: Yeah. No new updates from the last time we talked. We talked about that, we had gotten coverage by Blue Shield, California. We've gotten some indications from CMS as to the favorability toward coverage and what the potential reimbursement rates would be. We're in active discussions with them. So I'm not going to kind of go much further than that. And so, the process is moving forward. We know, and specifically for MRD, CRC, colorectal cancer, is one of the areas that has the more widely accepted coverage and reimbursement. And so as we're looking at our trials, we're working on making sure that we're leveraging our validation and efforts to areas that are more commonly reimbursed. And so we've got a few places where we've seen some traction and this, in that regard, and we're just going to keep working hard with all of the payers and the clinicians who also will depend upon our product. There's still some work to be done in terms of getting the adoption and acceptance. And so we're working on all fronts in parallel.
Rachel Vatnsdal: Great. And then maybe shifting over to the women's health business. Can you just kind of walk us through what are you seeing from a share perspective on prenatal testing? And then shifting over to the opportunity in micro deletions, can you just kind of walk us through what are your expectations for timing on when we could expect a potential guideline change and without kind of [bleed through] (ph) to prior private payer coverage as well. Thank you.
Ken Knight: Yeah. I'll start with the micro deletion. There is growing momentum to widen the coverage to include micro deletions. We have -- the way we execute our product that allows us to be able to pivot, very, very nicely. When that guideline expansion does occur, we provide micro deletion. And so we we'll be fine when that does occur. Tough to predict when that's going to happen, but the way we've got our product developed that we'll really, we would welcome that and we're well positioned for that. As far as share is concerned for NIPF, that's a great question, and it's not one that I can tell you I have total confidence in just blurting out a number. I will say that one thing that's been great about our women's health business has been our carrier business has been growing significantly this year, and that's really been fueling our, I think it was 18% pro forma year-over-year growth in revenue for Q2 has really been our carrier business, and that's been going really well. So -- but I don't know that I have the market share numbers. I know we are growing at such rates that we're taking share. Now some of that share could have been just exited businesses, exit -- companies who have exited the business and the share has been there to take. And so it's hard to say what that number is right now.
Rachel Vatnsdal: Great. That's it for me. Thank you.
Ken Knight: Thank you, Rachel.
Operator: Thank you. Our next question comes from Puneet Souda of SVB. Your line is now open. Please go ahead.
Puneet Souda: Hey, guys. thanks for the question. So I'm just wondering if you can update us on where do you stand with the commercial sales force in each segment and were there reductions still in the quarter, just given the sort of, cash burn guidance you had and, just given, the expectations the second half?
Ken Knight: And so, Puneet, was your question that we reduced sales force -- sales team in the quarter to fuel our cash burn reduction? Is that what you're asking?
Puneet Souda: Yeah. So could you maybe update us on the group sales force you have today? I'm wondering if you can provide that context with respect to each, sort of segment. I'm wondering if there were recent reductions beyond the ones that you had conducted before. Does that make sense?
Ken Knight: Yeah. So it does. No, there has been no -- I'd say plan reduction in forces or anything like that associated with our sales force. We did some realignment last fall when we exited some territories and reallocated resources, and we actually added salesforce in our efforts to expand call points for hereditary cancer. And we've gone after some of the non-genetic expert community, which right now are growing double digits for us. And so -- but since then, we've not made any wholesale changes to our sales force coming out of that realignment from last fall. Obviously, our decision to exit the PGX business, we had a small sales team that was focused on pharmacogenomics. And the teams are looking to right now, kind of understanding, is there opportunity to reallocate those resources. And so we'll make the right decision on the rest of the business with the talent that we have in that regard. but there's been no other reduction in sales force, any wholesale reductions since we did our realignment.
Puneet Souda: Okay. Thanks. And then within the context of the cash burn, $220 million to $245 million, I mean, I appreciate the comments that you're exiting the PGX business, it's understandably -- I mean, that is a highly competitive market, but you are competing in a number of other areas, which are highly competitive. I'm just wondering sort of the level of focus and commitment that you have for things like rare diseases versus sort of areas of data services and things that you are providing. So would love to have a sort of a context around where you see the core business continuing to be very much core to you versus areas where potential for further exit if it will -- if need be.
Ken Knight: Yeah. Puneet, obviously, that's not a question that I'm going to be able to answer at this point. I mean, I don't want to signal anything that would be inappropriate.
Puneet Souda: Sure. Appreciate it.
Ken Knight: And so, I mean, look, I would say this, is that -- and I think I even maybe said it in my opening comments, that we have more visibility into how each of our businesses are -- business lines in clinical areas are performing today than we ever have. And the good news is that that visibility is also sparing knowing where our strengths and our weaknesses are and addressing the weaknesses and trying to leverage our strengths is what every one of our teams in our clinical areas are striving to do. We still have a overall business that we are trying to build, and we have some objectives that we're looking to build. We haven't rolled out our 2024 business plan yet. And so some of the things you're talking about would really be material to how we build out our business plan for ‘24. And so not ready to talk about that, but we have visibility. We know where we're good and what we need to be better at, and we're working hard every day to address those and, we'll keep working hard on building a profitable business that can really just knock it out of the park in terms of serving customers and patients and has great growth prospects for the future too. So that's what we're going to be striving for.
Puneet Souda: Sure. I understand. Thanks again. And appreciate the color you provided. Thanks.
Ken Knight: Yeah. Thank you.
Operator: Thank you. Our next question comes from Kyle Crews of Credit Suisse. Your line is now open. Please go ahead.
Kyle Crews: Hey. Thank you for taking the questions. Going back to the cash burn, the capital expenditures have become significantly lower than prior years. And I was maybe wondering if you could speak to the sustainability of keeping the capital expenditures so low and maybe provide some broader color on how you're ensuring that you're investing in profitable growth while maintaining the more stringent cash burn reduction? And beyond that, back to carrier screening, if maybe you could comment on the reimbursement environment for carrier screening and if you've been able to secure more favorable trends for reimbursement. Thank you.
Ken Knight: Yes. From a capital standpoint, I'm certain we have talked about that before. Part of what we -- one of these is we've been able to kind of lower our capital spending at least for the for the time being is because we had -- we just -- we found ourselves with more capacity than we -- than we had demand if you will. And so we just didn't need to continue to buy new capital equipment as we went through our realignment and kind of trimmed our portfolio and where we were doing business and things like that. The international space, we started pulling back out some of that. We found that we had sufficient, kind of capital utilization still to go. And so that's been the case now. The question that's been asked before is, Illumina has some new NovaSeqs and should we, or could we take an opportunity to look at those? We've said we would. We would take a look at it and there's opportunities to improve cost per unit and throughput and speed. And so, we are willing to and kind of continually looking at those types of opportunities, but they won't be requiring them the -- I think some significant capital spending that the company had in the years prior. I don't think we need to go back to that level of capital spending anytime soon. Relative to carrier, and I think the question was related to cap carrier reimbursement. I think what we found is that, we have a really solid team that's understanding what the reimbursement landscape is in carrier and we've been very successful in improving our average payment per test in a carrier business that's actually contributed to our gross margin improvement, in the past with hereditary cancer, having some headwinds on gross -- on APT and the company would probably been more so explaining why low 40% gross margins would have occurred. But because we've done a really good job in carrier and women's health, and rare disease in terms of increasing gross margins there, we still are making progress in the aggregate for the company, even though we saw a little bit of a headwind on the revenue for our hereditary cancer business. So we know what the opportunities are. We know how to address it, and we're working hard on it and I think we are showing great progress there.
Kyle Crews: Thank you so much.
Operator: Thank you. Our next question comes from John Peterson of Piper Sandler. Your line is now open. Please go ahead.
David Westenberg: Hi. This is actually, David Westenberg on for John here. So, just my first question is on some of the benefits we've seen some of the competitors get in in reproductive health. I think there was, California is now allowing more than two vendors and a lot of companies have been talking about carrier screening being -- particularly expanded carrier screening being better paid. Are you seeing any of those benefits or should we anticipate any of those benefits this year? And then maybe I'll just ask the second question upfront here. Are there any big R&D projects that you expect to fall off in the next couple of years that would just be kind of automatic decreases in some of the OpEx? Thank you.
Ken Knight: Okay. OpEx, R&D. I think you're referring to the last year, there was some efforts by California to restrict the number of providers of, especially of NIPS, the non-invasive prenatal screening, due to kind of a pricing solicitation effort that was going on and many of us in the industry disagreed with that effort. And we were we were happy to see when the -- that effort was kind of paused. I believe there was an injunction that paused that effort. And so the good news is that, it didn't really go into effect and so it didn't change our positioning of business in California. And so, really, I would say that the impact has been minimal, and it really hasn't changed the way we go to market in California for women's health. So as far as kind of OpEx reductions with R&D, let me look. Our R&D spend is -- I'm going to say somewhere 45%, 50% lower than it was a year ago. And we're continuing to really refine what our needs are and what's going to be the real growth drivers. We really got processes now that we're measuring the effectiveness of what we're doing. And so we're -- we have a good handle on where we need to spend and where we don't. And, for us, it's really about making sure that we are continually not only having great products today, but our products have the ability to continue to grow where customers and pay need them to be, not just for today, but for tomorrow and beyond. And so we're always asking ourselves, what's it going to take for us to be the best in the business in in this clinical area three to five years from now. And so, it helps when you're already -- we think we are already the best. And when you think about hereditary cancer, we're as good as anybody, but that's not an -- that's not where we stay. We have to continue to invest in that product. And so, we will be stewards -- we will be responsible stewards of the capital that we have access to, to make sure that those investments are -- they are fungible.
David Westenberg: Thank you.
Operator: Thank you. At this time, we have no further questions. So I'll hand back to Ken Knight for any further remarks.
Ken Knight : Well, thank you, operator, and thank you all for your questions. Really, really good to have you on the call. And I appreciate many of you who said, congrats on the quarter. I mean, it goes a long way. We're working hard. We're trying to deliver and appreciate the fact that you've noticed. I appreciate your continued support and look forward to sharing more updates with you in the near future. In the meantime, have a great afternoon and evening. Goodbye now.
Operator: Thank you for joining today's call. You may now disconnect your lines.